Operator: Welcome to the Q1 2017 Stanley Black & Decker Inc. Earnings Conference Call. My name is Chelsey and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to the Vice President of Investor Relations, Greg Waybright. Mr. Waybright, you may begin.
Greg Waybright: Thank you, Chelsey. Good morning, everyone and thanks for joining us for Stanley Black & Decker's first quarter 2017 earnings conference call. On the call in addition to myself is Jim Loree, our President and CEO; Don Allan, our Executive Vice President and CFO; and Jeff Ansell, our Executive Vice President and President of our Global Tools & Storage Business. Our earnings release, which was issued earlier this morning and a supplemental presentation which we will refer to during the call are available on the IR section of our website as well as on our iPhone and iPad app. A replay of this morning's call will also be available beginning at 2:00 PM today. The replay number and the access code are in our press release. This morning, Jim and Don will review our first quarter 2017 results and various other matters followed by a Q&A session and consistent with prior calls, we are going to be sticking with just one question per caller. As we normally do, we will be making some forward-looking statements during the call. Such statements are based on assumptions of future events that may not prove to be accurate, and as such, they involve risk and uncertainty. It is therefore possible that actual results may materially differ from any forward-looking statements that we might make today. We direct you to the cautionary statements in the 8-K that we filed with our press release and in our most recent 34 Act filing. I'll now turn the call over to our President and CEO, Jim Loree. Jim?
Jim Loree: Thanks Greg and good morning everyone. As you saw the first quarter was an excellent start to 2017. All our businesses came out of the gate strong with each contributing to our robust 5% organic growth for the quarter. Revenues were $2.8 billion, up 5% versus prior year on strong organic growth. Tools & Storage continued to lead the way up 6% in the quarter with all regions contributing. Industrial posted a large positive top-line surprise with 4% organic growth on strong automotive system sales in Engineered Fastening and solid performance from the Infrastructure businesses which are finally beginning to see signs of life in their various end markets. This is an eight point positive sequential swing for the segment. And while it's still too early to conclude definitively, we're cautiously optimistic that we may begin to see the positive trend continue as the year progresses. Don will provide some more color on that when he goes through the segment details and our updated 2017 outlook in a few minutes. Finally, our Security business started the year off right posting 1% organic growth in line with our expectations. It was good to see the top-line expansion driving impressive operating leverage throughout the P&L expanding our operating margin rate by 110 basis points to a record first quarter rate of 14.2% excluding M&A related charges. This reflects our consistent focus on operational excellence as evidenced by a 160 basis point increase in our gross margin rate overcoming an adverse impact from currency and some commodity inflation. Diluted adjusted EPS for the quarter was $1.29, as strong operating performance, more than offset the aforementioned currency and commodity headwinds, higher restructuring charges as well as an unplanned event based environmental charge related to a pre-merger closed facility. On top of these excellent financial results, we also closed three major capital allocation transactions in the quarter. Finalizing our acquisition of new tools, our acquisition of the craftsman brand, as well as the divestiture of our commercial hardware business, which I'll address in more detail in just a moment. Finally, based on the strong start and our improved outlook for the Industrial businesses, we are raising our 2017 full-year adjusted EPS guidance by $0.10 to $7.08 to $7.28. This is inclusive of the previously disclosed impact of the three transactions I just mentioned and will be covered by Don later during his remarks. Turning to our recent portfolio activity and what made for a very busy quarter here, the Newell Tools acquisition with the iconic Lenox and Irwin brands closed on March 10, the day after the Craftsman deal closed. As you would expect our experienced integration teams are up and running full speed on the Newell integration and building out the Craftsman brand. On Craftsman the majority of our efforts are now focused on supply chain activities to initially support sales into non-Sears Holding channels. In parallel, we are developing commercial strategies for the brand and remain very excited about the potential growth opportunities. We continue to see a clear path towards annual growth of approximately $100 million a year for the next decade. Our initial conviction has only been reaffirmed since closing, as numerous customer interactions continue to substantiate our growth assumptions. This is reinforced by the powerful name recognition and consumer buying intent associated with the Craftsman brand. Suppliers are also positive about the opportunity to participate in reinvigorating the growth of this iconic brand. As expected, there is a lot of excitement and positive energy around our stated intention of bringing manufacturing for the Craftsmen brand back to the United States. Our plans for a new state-of-the-art manufacturing facility are starting to take shape, so look for more to come on this front in the coming quarters. And as previously we expect the Craftsman brand transaction to generate approximately $0.08 of earnings accretion in 2017 excluding charges buildings of $0.35 to $0.45 accretion by year five. On Newell Tools our focus is now on integrating employees, suppliers, and customers into our existing operations. The team is focused on achieving the substantial cost synergies identified during due diligence. And as a reminder, we expect to achieve $80 million to $90 million in cost synergies with this deal, and will also soon begin tapping into the significant revenue synergy opportunities. Overall customer feedback has been extremely positive with many customers voicing a desire to expand the relationship and add new product lines. Work is well underway to accommodate these expansions including new distribution channels for the Lenox and Irwin brands into previously underserved markets where Stanley Black & Decker has a strong and established footprint. We continue to expect Newell Tools earnings accretion of approximately $0.24 per share in 2017, excluding charges, building to approximately $0.80 by year five. So as you can tell, we are excited about the prospects for these acquisitions, both for the strategic benefits as well as their financial impact. Regarding the total company, we believe we are set up well for a strong 2017. As always, we benefit from our deep and agile leadership team, our commitment to and focus on operational execution and our robust SFS 2.0 operating system. We're also benefiting from relatively stable exchange rates and for the first time in four years, we are not facing escalating FX headwinds at this stage of the year. The result is a healthy start to 2017 with a focus on maintaining the momentum behind our organic growth and margin expansion efforts, while also tapping into the significant value opportunities presented by Newell Tools and the Craftsman brand acquisitions. I'll now turn it over to Don for a more detailed discussion of first quarter results. Don?
Don Allan: Thank you, Jim and good morning everyone. I would like to take a deeper dive into our business segments, which all performed very well in the first quarter. Tools & Storage revenue was up 9% in the quarter, as 6% organic growth and four points of acquisitive growth were offset by a point of currency pressure. The operating margin for this segment was up an impressive 16% year-over-year to 16.4% operating margin, as the Group achieved strong operating leverage and a solid top-line growth. Each Tools & Storage region and SBU posted positive organic growth in the quarter. On a geographic basis, North America led the way and was up 8%. This strong performance was due to our U.S. commercial and retail channels which were up low-double-digits and high-single-digits respectively. Additionally, Canada posted solid organic growth of around 10%. New product introductions and successful field conversions drove growth in the commercial channel. Strong e-commerce volumes and continued momentum from the FlexVolt launch, field growth in the U.S. retail channel as we did overcome some modest channel inventory tightening. We expect the momentum surrounding FlexVolt which by the way did meet expectations for the quarter will be maintained and bolstered by our commercial teams launch strategy, which has a well-designed roadmap of promotions and new FlexVolt tool and accessory SKUs hitting the shelves regularly over the next few years. North American POS data remains healthy throughout the quarter, as it was up high-single-digits. This is particularly impressive given we were comping a mid-teen POS growth rate in the first quarter of 2016. The above-market growth trend in Europe continued in the quarter, with the region posting 6% organic growth. The outperformance was widespread across the region with almost all markets contributing. The European team continues to provide picture perfect examples of commercial excellence at its finest driving mid-teens growth on average among its top 10 customers in the quarter. Additionally, in the first quarter, we continue to see customer wins in the UK and strong market share gains in Italy and Iberia. Finally, the emerging markets were up 1% organically, as solid performances in Latin America and Asia were weighed down by continuing but improving pressure in the Middle East and North Africa. We are undergoing a transition to a direct model in Turkey which will weigh on growth within that region for the first few quarters but should ultimately provide a much better mid to long run opportunity in that country. Performance in Latin America was mixed with double-digit growth in Mexico, Brazil, and Ecuador more than offsetting declines in Colombia and Argentina. Asia delivered strong performances in Korea and Japan which more than offset pressure we saw in Thailand and in the Philippines. The diligent pricing actions that we've been taking as well as the ongoing MPP launch across the developing markets is continuing to drive growth. Just one last comment on emerging markets. We are really beginning to see a lot of excitement from our customers around the potential future Irwin and Lenox rollout, more to come on that later this year. Within the SBUs, all lines were positive in the quarter. The power tools and equipment group was up 9% led by power tools and home products, both of which benefited from new product rollouts and continued strong commercial execution. Our hand tools, accessories, and storage organization delivered 3% growth on a strong performance within hand tools and storage, which benefited from a bounce back in industrial end markets. The overall industrial businesses within Tools & Storage were up mid-single-digit. In total, the Tools & Storage organization continued its momentum in the first quarter delivering solid above market organic growth and robust operating leverage driving 110 basis point margin expansion, while at the same time accelerating integration and commercialization efforts around the Newell Tools and Craftsman brand acquisitions. Let's move to Security. The Security segment had a nice start to the year as well, coming in right on top of our expectations posting 1% organic growth. North America, organic growth was up 2%, its highest organic growth quarter since the second quarter of 2015 led by higher volumes within automatic doors, which continues to perform very well as well as solid healthcare growth. Europe was flat organically in the quarter with mixed results across the markets as gains in the Nordics and UK were offset by declines in France and Central Europe. In terms of profitability the segment contracted 120 basis points year-over-year but was relatively in line with our expectations. The sale of the Mechanical Locks business which was finalized in the quarter drove approximately 70 basis points of that contraction, as this was an above line average business. The rest of the operating margin rate decline is a combination of channel mix and strategic investments within the sales organizations of Europe and North America. On the whole, the Security segment delivered a solid quarter starting the year on the right foot from an organic growth perspective, at the same time executing seamlessly on the Mechanical Locks divestiture. Additionally, they had a strong orders trend in the quarter and therefore backlog is positioned well going into the second quarter. Now turning to Industrial. We are extremely pleased with the segments outperformance this quarter as both the Engineered Fastening and infrastructure businesses delivered positive organic growth in excess of expectations. This top-line performance generated significant operating leverage and drove a 180 basis point improvement in operating margin rate for this segment as volume, productivity, and cost action more than offset currency headwinds. Engineered Fastening delivered 4% organic growth on a strong performance from the automotive business up low-double-digits, which more than offset lower electronic volumes, which were down 20% for the quarter. Auto fasteners sales continued to outpace light vehicle production numbers globally by a ratio of about 2 to 1. Additionally auto system sales were also a highlight in the quarter, up significantly versus the prior year on the back of previously won business beginning to translate into new model production. The Engineered Fastening team posted a record operating margin rate in the quarter in the low '20s as top-line growth combined with recent cost out actions delivered significant operating leverage. The infrastructure businesses posted a solid quarter as well in their own rights, up 2% organically. Our hydraulic tools business which has been revamping its commercial execution and go-to-market strategies for the last year or so is starting to see some momentum build posting its second consecutive quarter of organic growth due to higher volumes across all regions. Meanwhile, oil and gas was flat in the quarter but also ahead of expectations as this industry begins to experience accelerated onshore pipeline construction activity within North America. However, this is being offset by a continued low offshore project activity factor. While there is still lot of risk and uncertainty in our operating environment today both geopolitically and economically we are very encouraged by the collective performances across the portfolio in Q1. As we move deeper into 2017, we will remain focused on driving outsized organic growth and operating leverage, while also integrating the Newell Tools and Craftsman acquisitions into our world-class Tools & Storage franchise. Now, let's briefly take a look at the quarter's free cash flow performance on the next page. We were down slightly year-over-year mainly attributable to higher working capital as the large swings in net income and other were primarily driven by the gain on Mechanical Security divestiture. As a reminder, the outflow of cash in the first quarter is normal seasonality for our Tools & Storage inventory levels rise to ensure we are adequately prepared for the Q2 and Q3 demands of our key customers in the developed markets. However, keep in mind working capital turns in the quarter were up 0.9 turns versus the prior year when you exclude the impact of the portfolio move, a very solid start to the year. We remain on track to deliver 100% free cash flow conversion for the full year. Just a reminder, this guidance is excluding the impact of the gains on the recent divestitures. Now let's turn to our 2017 guidance. As Jim mentioned earlier, we are raising our adjusted EPS outlook for 2017 to a range of $7.08 to $7.28 which is an increase of 9% to 12% versus the prior year. On a GAAP basis, this results in a range of $7.95 to $8.15 earnings per share, inclusive of various one-time charges and also the gains from the first quarter divestitures I previously mentioned. This $0.10 increase to our outlook comes through as a combination of slightly higher organic growth within our industrial-related businesses which contributes approximately $0.08 and incremental cost and productivity actions of $0.10 primarily within Tools & Storage. In the aggregate, this more than offsets the previously mentioned one-time first quarter environmental charge of $0.08. Additionally, we are maintaining our combined FX and commodity inflation headwind estimate at $100 million to $105 million. Additionally, we still expect $50 million of core restructuring for the year. However, keep in mind that $50 million is inclusive of the $12.5 million charge we took in the first quarter relating to the settlement of a legacy Canadian defined benefit plan. Finally, note that we expect second quarter EPS to be approximately 27% of the full-year 2017 guides. Turning to the segment outlook on the right side of the page organic growth within Tools & Storage is still expected to be mid-single-digits as healthy construction markets in the U.S. combined with a relatively stable Europe and a still volatile emerging market setup should allow us to continue to take share around the world. That top-line growth will translate into improved margin rate year-over-year. We are maintaining the organic growth view on Security as well up low-single-digits in 2017. Note that the margin rate for the segment will be down year-over-year as we begin the process of lapping comps inclusive of the Mechanical Locks business just divested this quarter. Excluding that sale however, the margin rate for the year will be flat to slightly positive. Finally, we are raising the top-line outlook for our industrial segment from previously down low-single-digits to now relatively flat. It's still little too early in the year to make any more aggressive predictions in this space, but we are seeing some positive signs, both in the Engineered Fastening end markets as well as within the infrastructure businesses. We continue to see operating margin improvements in this segment driven by the previous identified cost actions, but also due to the improved revenue outlook. As I noted before, there is still quite a bit of macroeconomic and geopolitical uncertainty across our operating landscape in 2017. However, we remain cautiously optimistic as we are seeing signs of growth across all segments of the business in the first quarter and we believe we have a solid path to delivering the full-year revised guidance and outperforming the broader market from an organic growth and margin expansion perspective once again. We will remain focused and disciplined in our pursuit of that goal, particularly as we integrate and begin building momentum within our newly acquired tools businesses. With that, I'll turn it back over to Jim to summarize this morning's call.
Jim Loree: Thank you, Don. Well as you've heard Stanley Black & Decker is hitting on all cylinders. The first quarter represented a solid start to the year as we continue to build on the momentum underlying our organic growth and margin expansion initiatives. As a result of the strong operating performance and a reasonably favorable operating environment, we raised guidance excluding charges and the gain on sale of the Mechanical Security business to $7.18 at the midpoint, a 10% increase on a year-over-year basis. Apart from our focus on organic growth, we're very excited about the opportunities to drive value within the Newell Tools and Craftsman brand acquisitions. And as I mentioned earlier, integration activity is well underway for both transactions and we received nothing, but positive feedback from all constituencies. And finally, I want to remind everyone that we will be hosting an Investor Day in the morning of May 16 in New York City. This will be a great opportunity to communicate our strategic and financial objectives and discuss the next chapter in the Company's evolution. We're also looking forward to showcasing numbers of our business unit and other key functional teams and we look forward to seeing you there. We're now ready for Q&A, Greg.
Greg Waybright: Great, thanks Jim. Chelsey, we can open the call to Q&A, please. Thank you.
Operator: Thank you. [Operator Instructions]. Chris Belfiore with UBS is online with a question.
Chris Belfiore: So I guess I just wanted to kind of -- kind of touch a little bit on the strength you guys in industrial -- in Industrial segment the Engineering -- the Engineered Fastening business with the automotive systems performance there. Is this something that can kind of be like lumpy through the year? Just kind of, I know you said you're kind of looking to see well how things are going to play out and that's why the organic pressure is still at relatively flat for the year. But I mean that wouldn't kind of imply that it could be may be more first half weighed than second half weighed just getting to like the -- the annual guidance there. So is it kind of a lumpy thing or is it specific like a project.
Don Allan: Sure, this is Don. It is somewhat lumpy in the year where we do have like we experienced in the first quarter, we'll probably have a similar dynamic in the second quarter around system sales within Engineered Fastening but in the back half right now, we really don't see a lot of those types of system sales occurring as a lot of the new model launches are happening here in the first half of the year, back half of the year. Right now, that's not the case so that's part of the reason that we're being a little more prudent and balanced in our view of the full-year for that particular business. Those dynamics can change a little bit every once in a while, but at this stage, we think that's the most appropriate perspective of the full-year.
Operator: Rich Kwas from Wells Fargo Securities is online with a question.
Rich Kwas: Hi, two questions. One, I guess Don on just a follow-up on the industrial question from a mix standpoint what are you assuming for auto for the back half of the year when you look at from a production standpoint, there is some concern with North America and may be even China, that things slowdown. And then just a broader question for Jim around the manufacturing facility for Craftsman how are you looking about the expansion into the U.S. with the new facility, given that there seems to be increased uncertainty regarding the VAT and that sort of impact on your manufacturing position. Are you -- how committed you are or do you, are you committed to what I should say, and then any implications from anything that doesn't go on tax wise?
Don Allan: Okay. I'll start with the first question, Rich, and continuation of the previous question, which on the automotive business with Engineered Fastening, we do see a really some strong growth here in the first half of the year, just like we experienced in the first quarter. But right now, we do see light vehicle production slowing in the back half in particular North America but even slowing in some of the other regions compared to what we expect to experience in the first half. So that's part -- that is really what's kind of factored into our guidance when we look at first half versus second half in the industrial business, in particular, we have a combination of the -- the auto systems, and then you have a secondary factor of just a slowing of production in the back half of the year versus the first half based on current projections.
Jim Loree: Okay. And then on the second question, and just to reiterate how committed are we to our USA manufacturing strategy related to Craftsman given the uncertainty, but certainly the lower probability of the implementation of a border adjustability tax. And frankly we just comment on that that it's good just see that the government seems to be coming around on that one and understanding that that is not a good idea for the United States of America and many, many companies within the United States as well and really pretty much everywhere. So offsetting that aside for a minute as it relates to the facility expansion plans there was never a contingent on a VAT being implemented, it was really a function of the strategy for re-Americanizing Craftsman and just so everyone is aware we manufacture about 30% of all tools that are sold in the United States of America today and we are able to cost effectively do that with today's manufacturing technology and our intent is to increase that for the total tools business including Craftsman but in particular Craftsman. We have 11 tools plants in the United States and those tool plants, probably the majority of them will be expanding capacity in addition to the facility that we've discussed. And in the end it maybe -- it maybe more than one facility in the U.S. we will have to see how it all shakes out, but we're looking at various scenarios, so answer to your question we're very committed to manufacturing in the U.S. for Craftsmen and for the rest of our United States sales.
Operator: Saliq Khan from Imperial Capital is online with a question.
Saliq Khan: Yes, with the increasing strength in your Tools & Storage metrics, what are you hearing right now from your distributors and your channel partners about the state of your product offerings. But also have you've been able conduct a review of the talent as well as the temperament of all the employees within the recent acquisitions.
Jim Loree: Would you repeat the first part of your question, please?
Saliq Khan: Sure. If you take a look at the strength that you have within the Tools & Storage business what you've been hearing from the distributors and the channel partners about the state of your product offerings?
Jim Loree: Okay. We're going to have Jeff Ansell tackle that one since he is right on the job.
Jeff Ansell: Thank you. To this point that the response that we received from both end-users and trade customers globally has been outstanding, they want favorability on the Craftsman news was 90%. From Irwin, Lenox or Newell Tools perspective similarly positive feedback from customers and employees. So they want to be onboard 3,200 employees to our system seamlessly and we spoke with over 1,000 customers in the first 48 hours of the integration and the feedback has universally been great brands, great opportunities they have struggled free acquisition Newell Tools they struggled to serve their customers in terms of availability of products, service levels. And that's the number one thing, the customers have said to get that right and we can grow this business. And I'm pleased to say that in the first -- less than the first month of ownership, we've improved that backlog position reduced it by over 70%. So we've met the number one objective of the customer. So the feedback from our customers has been outstanding globally and from employees as well and we think it really strengthens our portfolio and opportunities to serve our customers unlike anyone in the world.
Operator: Jim Ritchie from Goldman Sachs is online with a question.
Evelyn Chow: Hi, good morning. This is actually Evelyn Chow on for Joe Ritchie. How is it going guys?
Jim Loree: Great, Evelyn.
Evelyn Chow: I was hoping if you could just give us an update on your gross margin performance, which has been incredibly strong not just this quarter but really for the past four, is there anything kind of significant happening at anywhere internal actions, mix, maybe just any other items that are kind of driving that kind of year-over-year expansion?
Don Allan: Sure, I will take that. But there's nothing unusual, I think it's a continuation of all the things that we do under the SFS 2.0 operating system model which is focused on appropriate pricing actions, driving cost productivity, transforming our back office et cetera, et cetera all those different things, commercial excellence where we're really trying to make sure that we're providing new products at the right price points to gain market share all that that entire operating model is really what drives that on an ongoing basis. So when I look at the first quarter in particular, you've got that dynamic of just continued trend of trying to drive operating leverage as we grow. And so the way that we drive operating leverage as we grow is that we look at various things excuse me that I just described but then we also try to reinvest along a portion of that along the way, so we can continue to stimulate future growth. And so we don't necessarily let all the leverage drop through but we had a large part of it drop through along the way. And the only way you're going to get operating leverage is to do the things that I just described, which is focused on pricing mostly focused on cost reduction, driving productivity for the supply chain offset any inflation that you're experiencing et cetera, et cetera. So you combine that with a factor that this is the first year we don't have $200 million of currency pressure. We have a number that's 50-ish roughly on an annual basis at this point, all those factors combined with that are resulting in a continued trend of strong gross margin.
Jim Loree: And Jeff why don't you tackle that same question and give them a little insight into how you think about it in the Tools business as well?
Jeff Ansell: Sure Jim, thank you. Inside of Tools, if you look at last year's period this time last year, we had grown about 8%. This quarter in the emerging markets, we grew another 7% in total 6% and as you know Tool P&Ls volume are very volume-dependent. So with that volume growth, it's given us a lot of degree to freedom inside of our supply chain, it's driven great productivity, while at the same time, tremendous quality improvements drove -- lowering our warranty return rates and the volume growth that we've had has been profitable growth meaning we targeted specific promotional opportunities in specific categories, seasonally adjusted for the right retail environment around the world and we've been successful. And in addition to that, we fought around the world with all this currency pressure we faced now for four years to be very, very frontal facing there. And if you look at places like the UK, we grew 16% this quarter, 8% was volume, 8% was price given what's going on there. And so if you take all those things into account, we better served our customers and in the same time been more reliable and more profitable while we've grown the business at unprecedented levels.
Jim Loree: Thanks, Jeff.
Operator: Tim Wojs from Baird in online with a question.
Tim Wojs: I think I was on mute there. Good morning guys. Nice job.
Jim Loree: Good morning, thank you.
Don Allan: Thanks, Tim.
Tim Wojs: Hey just on I was hoping you could elaborate a little bit on the discussions that you're having with customers just around Craftsman and the distribution strategy there now that you guys know that asset, maybe where the most interested and just how do you leverage the entire Stanley Black & Decker portfolio to really benefit kind of drive the maximum benefit for the total company?
Jim Loree: Jeff?
Jeff Ansell: I will take that. So it's really too early, early to declare the commercial strategy, we are that is not to say we're not working on it. We're working on it feverishly and we have been since March 9. But what we could tell you early read from this process is, we have an incredible demand for the Craftsman product across our U.S. customer base even in some other international geographies like the UK and Australia but in particular in the U.S. In terms of its opportunity within our stable of brands, if you look at our absolute share today although we are number one by all accounts and growing faster than the market, we still only we own about 20% of the total global market. So 80% of it is still out there for us to go after across 10 or 11 different marquee brands. And if you -- if you look at Craftsman in particular, it still represents nearly a couple of billion dollars in the marketplace today. And while we have grown our Tool business from $600 million to over $8 billion that Craftsman franchise has survived and that tells you what a loyal installed base that is, the customer however says that they would much prefer to find that brand in a lot of other more convenient locations. So our opportunity to take an installed base we've unable to dislodge make it available across other -- other retail options is exactly what the customer is asking for and we'll give a little more clarity May 16 but not full, we are working feverishly on this and as soon as we are able, we will tell you more about it, we can't wait to get started.
Operator: Michael Rehaut from JPMorgan is online with a question.
Michael Rehaut: Couple of quick -- couple of questions if I could squeeze them in, first if you could give any update on the M&A landscape particularly in terms of what you're seeing from a pricing standpoint, what people are asking and if you still see valuations are reasonable and should we think about timing that 2017 and perhaps some of your other segments are something that's possible or if you know you're going to be focusing mostly on Tools & Storage. And then just secondly on the breakthrough innovation front, any update there as you look at your other segments augmenting what you've done so far in FlexVolt. Thanks very much.
Jim Loree: Hey, Mike. First of all on the M&A landscape we just spent $3 billion or almost $3 billion and are integrating feverishly as Jeff says, two major acquisitions in Tools. So this is going to be a year of digestion for the most part and I think everybody should understand and can understand why that would be both from a financial balance sheet point of view as well as an operational bandwidth point of view. So having said that, I would say the pipeline for M&A is about as robust as we've ever seen it with valuations and in its own, I think is manageable with good synergies not cheap by any stretch, but some really interesting strategic assets out there that are of a decent sized, decent enough to move the needle. So we're coming through those right now and doing a lot of analysis and thinking strategically about what makes the most sense. We may do some very small acquisitions yet this year but there won't be -- there won't be anything which I would call material in size but be on the lookout in as we get into next year for something in all likelihood in one of the other segments, other than tools wouldn't rule tools out, but I would say that in all likelihood, it would probably be in either industrial or security which is where we see the action today. So that's the M&A picture, we can talk more about that at the Analyst Meeting for people that are interested. As far as breakthrough innovation I have never been more excited about the opportunities that we see across the company and we have about 10 teams up and running. We have every business in the company has at least one team and our emerging markets group has a team and we're all using all those teams are using the same formula that we use for FlexVolt under the global Tools & Storage model that we have identified as part of SFS 2.0. So you'll see more information about that at the Analyst Meeting, but I can tell you that we don't expect a 100% batting average on these. But I would think that if we have 10 teams up and running and have been up and running now for us anywhere between a year-and-a-half to six months in that timeframe, there will be some innovations coming out of those teams that we've already seen some. One of the challenges for us will be some of those require commercialization in places or in ways or channels that we don't necessarily have access to today. So another one of our challenges related to breakthrough innovation will be getting some channel access to for some of these innovations that are a little bit out of the fairway, if you will. And I think you see a combination of human resources additions to tackle those challenges as well as some integration of M&A activities with our breakthrough innovation activities and synergizing up both of those. So really exciting times here at Stanley Black & Decker as far as breakthrough innovation goes.
Operator: Dennis McGill from Zelman and Associates is online with a question.
Dennis McGill: Hi, thank you guys. I was hoping you could may be expand a little bit on the first quarter margin within Tools & Storage I think going into the quarter extracting both currency and brand investment to be some pressure on margin and a very strong margin performance there so little color there. And then as you look at the full year the positive year-over-year some different factors going on, especially with the acquisitions specific to Craftsman can you just maybe put some numbers around it given the royalty payments and things might impact margin there and how we should model that business?
Don Allan: Sure. So let's start with the first quarter gross margin, which was, as I said, very strong. We clearly did experience commodity inflation in the quarter, we experienced some year-over-year FX pressure as well, but we did have some nice pricing benefits Jeff mentioned some of things that we've done in particular in Europe and some other markets around the world that have been positive for us, he is referring more the last year, but we also some saw some of the impact this year in the first quarter. And then we also had focus on cost actions and productivity that came in very nicely throughout the quarter and then we -- we put a little bit investment back into the P&L. So I think the probably difference was as we didn't put quite as much investment back in the P&L as we originally were anticipating at the beginning of the quarter, but frankly, the rate was not dramatically better than we anticipated it was just modestly better. As far as Craftsman goes this year as we said it about $0.08 of EPS impact for us. The margin impact will be relatively modest, not a big number. There is a, which many of you're aware of their accounting aspects related to the royalty stream or the free royalty basically that we provided to Sears that does have an annual impact. This year that will drive frankly a large part of the operating profit here in 2017. And then as we move into 2018 and beyond it will be more about the activities associated with driving organic growth, driving more profitability in the business through our supply chain in our manufacturing etc cetera, etc cetera. And so I wouldn't expect a large number here in 2016 -- 2017 I'm sorry based on what I just described and also just keep in mind, a large part of the operating margin will come from that accounting dynamic.
Operator: Robert Barry from Susquehanna is online with a question.
Robert Barry: I had a question on Tools margins, I guess in two parts. I mean big picture up over 100 basis points in 1Q. I mean do you think you can maintain something close to that degree of kind of year-over-year progress, a lot of those drivers, you mentioned seem like they could carry forward. And I think you were expecting even better performance in the back half due to lower launch costs. And then just kind of a sub-question related to Newell synergies what's the cadence of that $80 million to $90 million of cost synergies. I think that was by year 3. How much is coming in 2017 versus in 2018 and 2019. Thank you.
Don Allan: Yes, so the gross margin, yes the trend I expect. I expect the trend to continue throughout the year. Can I guarantee every quarter will be perfect based on what we did in Q1? Absolutely not. But because there is timing of when we make investments and various other factors, but the Tools & Storage business right now, although they have some headwinds, the headwinds aren't quite as large as what we've experienced over the last few years. Currency is much lower number; commodity inflation right now is a reasonable number. We'll continue to watch that as the year progresses. But in total, those numbers are about $100 million to $105 million with a large part of that, probably 80% of that hitting the Tools & Storage business. So when I think of the business trend and as I mentioned as I went through guidance I think the trend is going to continue to be accretive year-over-year as we go throughout this year. And I want to say be of the same magnitude every quarter based on what we had in Q1. So we definitely expect solid accretion. As far as Newell cost synergies we as Jeff mentioned, we've just started that process and about 30 days good news is we had a fair amount of planning, leading up to the closing over about a 90 to 120 day period of time. So we were ready to go day one, and which was -- which is always great to be an acquisition, and so this year, we think we're probably going to get about $20 million to $25 million of cost synergies from Newell in 2017. And the rest of it will kind of pace a little evenly over the next three years. So that would be what you should expect for 2017.
Operator: Liam Burke from Wunderlich is online with a question.
Liam Burke: On the industrial tools side of the business Jim, you mentioned strength was that across the board or were there any particular verticals that did well?
Jim Loree: I'll let Jeff tackle it since he has got industrial tools under him.
Jeff Ansell: We were up strong mid-single-digits about 7% in the industrial business that was pretty pervasive across all of our industrial tools businesses. The Tier 1 folks were up double-digit in the -- in the quarter. So that recovery looks -- looks promising and we believe our growth in that market certainly with a share gain more than just a market improvement although the market did improve concurrent with our Q1 results. We did -- we did see some, some industrial tools folks actually exit the market, which we very quickly converted over to our brands, which was fantastic. So things like that as well as the flexible introduction in those industrial channels has been really high, really well done well accepted in that technology really performing in that marketplace so all those things come together for a market that has improved a little more than we expected and our growth is greater than that market itself. So that's kind of the way we see it going forward.
Jim Loree: So Jeff while you're on the topic of FlexVolt may be you could just expand a little bit on the program right now. I know there is a little skepticism out there from a couple of people who probably have a vested interest and skepticism. So why don't you just tell give them the ground fruit about FlexVolt right now.
Jeff Ansell: What tends to be in this marketplace competitors are violent and if your competitors don't have a response they tend to -- they have a negative view on what you -- what you're doing and how it's performing. The reality is we couldn't be happier with FlexVolt and if you think of 7% growth in this first quarter 8% in North America, 6% in Europe. We're very pleased with that. But half that growth came from FlexVolt half came from the core, so what it says, our core business vibrant we comped a very big quarter from last year and grew the core at the same time while allowing FlexVolt to provide the other half of the growth. Our retail execution of FlexVolt is now more than double-digits ahead of what the customer expectations work, which is fantastic. And the uptick and uptake in industrial channels every bit is good if not better. So if you consider those things and you look to the fact that we are loading new flexible products as we speak in this quarter and we will continue to load new introductions throughout 2017. And as Jim said, in the next several years that has been the real, the real driver behind what you do with this breakthrough innovation team. We have to continue to keep this fresh and we feel that we are quite, quite nicely doing that. The last point I would tell you is, while it takes time to introduce new systems and power tools the fact that this does leave the old system behind has led to a much faster adoption than most new power tool platforms. As such, our growth in FlexVolt, the ramp in FlexVolt is 10 times faster than the ramp in brushless as an example. So we couldn't be more pleased and we are we know it's a competitive advantage and the average of five stars. The average user rating of FlexVolt is 4.9, so if you get the product right for the user everything else takes care of itself. So we feel great.
Operator: David MacGregor from Longbow Research is online with a question.
David MacGregor: Yes sir, good morning and congratulations on a good quarter.
Jim Loree: Thanks, David.
David MacGregor: Yes, thanks. Just around FlexVolt if you could may be go back to Jeff and just talk about the development of 16 and 120 volt cordless tools and then how should we think about kind of the growth performance and the timing of those products?
Jeff Ansell: Well, the beautiful thing about FlexVolt is we are able to develop 20 volt tools where they're appropriate, where the max watt outperformance is appropriate. At the same time, develop 60 volt tools where the max watt outperformance is required and obviously there is a cost difference right the 60 volt tool is more expensive proposition for the user and for us that delivers unprecedented performance, at same time the user wants the right tool for the right job, at the right cost. So all those things come together and what you'll see over the next 36 months we'll be presenting this to Jim and team in the next few weeks and then you'll see some of it at the May 16 session, you'll see fresh introductions of both 20 volt and 60 volt tools coming within the FlexVolt range and I will tell you that the users pick up on them has been equivalent. The user likes what they can do with FlexVolt batteries under 20 volt system but they really have also embraced the 60 volt performance. Circular saw in particular is absolutely killing it. The portable you mentioned 120 volt, the portable products like miter saws which are 120 volt absolutely killing it. So the user has embraced all those various platforms and because it gives them the performance of coated in a cordless package. So more to follow but yes we are very, very active in development of 20, 60 and even 120 volts going forward.
Operator: Robert Wertheimer from Barclays is online with a question.
Robert Wertheimer: Congratulations on getting all the deals done, obviously a lot of work and rapidly done. On Craftsman is there and what's your sense of scenarios and contingencies if Craftsman at Sears declined for whatever reason faster than expected. Do you have a current channel to absorb it; do you think that the additional channels you might add are going to be in place in the near term?
Jim Loree: I think we're planning for a more rapid ramp than $100 million a year over 10 years. We can probably handle a ramp with our current planning at about 2X rate of that clearly that's hypothetical at this point in time and it's a contingency but it's certainly definitely something that we are planning for in the event that that were to occur.
Operator: We have no further questions at this time. I would now like to turn the call back to Greg Waybright for closing remarks.
Greg Waybright: Chelsey thank you. We would like to thank everyone again for calling in this morning and for your participation on the call and obviously please contact me if you have any further questions. Thank you.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.